Kip Rupp: Thank you, and welcome, everyone, to the Quanta Services First Quarter 2023 Earnings Conference Call. This morning, we issued a press release announcing our first quarter 2023 results which can be found in the Investor Relations section of our website at quantaservices.com, along with a summary of our 2023 outlook and commentary that we will discuss this morning. Additionally, we will use a slide presentation this morning to accompany our prepared remarks which is viewable through the call's webcast and is also available on the Investor Relations section of the Quanta Services website. Please remember that information reported on this call speaks only as of today, May 4, 2023, and therefore, you had advised that any time-sensitive information may no longer be accurate as of any replay of this call. This call will include forward-looking statements intended to qualify under the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995 and including all statements reflecting expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical recurrent facts. You should not place undue reliance on these statements as they involve certain risks, uncertainties and assumptions that are difficult to predict or beyond Quanta's control, and actual results may differ materially from those expressed or implied. We'll also present certain historical and forecasted non-GAAP financial measures. Reconciliations of those financial measures to their most directly comparable GAAP financial measures are included in our earnings release and slide presentation. Please see Slide 2 and the appendix of the slide presentation for additional information regarding our forward-looking statements and non-GAAP financial measures. Lastly, if you would like to be notified when Quanta publishes news releases and other information, please sign up for e-mail alerts through the Investor Relations section of quantaservices.com. We also encourage investors and others interested in our company to follow Quanta IR and Quanta Services on the social media channels listed on our website. With that, I would like to now turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Duke Austin: Thanks Kip. Good morning, everyone, and welcome to Quanta Services first quarter 2023 earnings conference call. On the call today, I will provide operational and strategic commentary, and we'll turn it over to Jayshree Desai, Quanta's CFO, to provide a review of our first quarter results, full year 2023 financial expectations. Following Jayshree's comments, we welcome your questions. Before we begin reviewing our financial results, I would like to briefly highlight the recognition that Quanta recently received from Engineering News Record, a leading engineering and construction industry publication. In our selected Quanta for its prestigious and highest honor, the award of excellence. Quanta was selected for its safety leadership with our innovative capacity model, a unique safety and training program that is designed to not only create a work environment that prevents incidents, but also build in the capacity to sell safely and it focuses on learning from mistakes in order to drive improved outcomes. Quanta is changing how we, our customers and the industry think about safety excellence, and I want to congratulate Quanta employees for their dedication to safety and their shared success in being recognized with this award. Our first quarter results, which include double-digit revenue growth and adjusted diluted EPS of $1.24 demonstrate a good start to the year. More importantly, we continue to enhance our self-perform model and remain on track to achieve our full year 2023 and multiyear expectations. Additionally, total backlog at the quarter end was $25.3 billion, a record and considerably higher than the same period last year. Notably, we see opportunity to significantly increase backlog as we move through the year, driven by our base business and larger energy transition projects, such as the SunZia Transmission and SunZia Wind projects we announced this morning. We believe we are in the early stages of capitalizing on significant opportunities across our service lines, which are driven by our collaborative solution-based approach that is designed to ultimately benefit consumers. Additionally, the growth of the programmatic spending with existing and new customers and favorable megatrends provide greater flex visibility into our near and long-term growth outlook. Our Electric Power Infrastructure Solutions segment continued to perform well and generated record quarterly revenues. Demand for our services is strong, driven by broad-based business activity from utility grid modernization, grid security and system hardening initiatives, as well as our reputation for consistent and safe execution. We continue to work with our customers to provide them with resources to meet their capital deployment initiatives and to help them address supply chain constraints. As we have discussed over the past several quarters, our view is that the electric power grid will require significant upgrade and modernization to handle the energy transition. We also believe that electric vehicle penetration could increase at a faster rate than expected, which could create significant grid constraints that we believe are underappreciated by many. We expect the issue in the near term, the medium term in most regions will not be generation load supply availability, but the inability to move supply to areas with accelerating EV-driven low demand through the current distribution system. According to estimates from UBS, United States EV car penetration is expected to be more than quadruple from approximately 4% in 2025 to approximately 19% by 2030. We believe this developing grid capacity challenge will be acutely impacted as commercial fleets, medium and heavy-duty trucks and buses become increasingly electrified. For example, yesterday, Navistar a long-standing key partner to Quanta for medium and heavy-duty trucks announced a partnership with us to provide its customers a turnkey, battery electric vehicle products and charging infrastructure solution that enables fleets to deploy battery EVs quickly and efficiently. The partnership intends to leverage Navistar's approach to delivering fully integrated e-mobility solutions to its customers with Quanta's expertise in assessing and designing EV charging infrastructure and building the interconnecting EV battery charging infrastructure into the power grid. Quanta understands infrastructure and its partnership agreement with Navistar, as an example, of unique vantage point we have into the growing challenges with the power grid as the energy transition and electrification of everything accelerates. As we have discussed on prior calls, to meaningfully reduce carbon emissions and increased electrification of the economy will require substantial incremental investment in transmission, substation and renewable generation facilities to produce and transport Clean Power and to ensure grid reliability due to the growth of intermittent power added to the system. One of the strategic reasons we acquired Blattner was because we believe the addition of utility-scale renewable generation solutions to Quanta's holistic grid solutions will transform our ability to collaborate early with our customers on their energy transition strategies over the coming decades and create a value proposition unique in the industry. To that end, this morning, we announced that Quanta was selected by Pattern Energy to provide comprehensive infrastructure solutions for the SunZia Transmission and SunZia Wind projects, which together compromise the largest clean energy infrastructure project in the United States history. Quanta will leverage the capabilities of multiple operating companies to execute these projects for Pattern Energy. We believe these project awards validate the power of our combined high-voltage transmission and renewable generation solutions and demonstrate the value of our collaborative approach to providing energy transition infrastructure solutions, which can serve as a model for the renewable and utility industries going forward. As expected, normal seasonality in the solar panel supply chain and regulatory hurdles from last year resulted in a slow start for our renewable generation project activities in the first quarter. However, these dynamics are improving and renewable generation project activity is accelerating, which we expect to continue throughout the year. For example, at the end of April, we were in various levels of construction on 28 utility-scale renewable generation projects. Further, we are in active discussions with clients about projects in 2024 and beyond and are focused on scaling our resources and capacity handle what we expect to be record levels of new renewable generation capacity additions over the coming decade, at least. Additionally, we are pursuing billions of dollars of high-voltage transmission projects that are designed to support current and future renewable generation capacity growth and overall system reliability. We are pleased with the performance of our Underground Utility and Infrastructure Solutions segment in the first quarter, which delivered double-digit revenue growth and record levels of first quarter profitability, demonstrating solid execution across our operations in this segment. Our industrial services operations executed well and experienced strong demand following 2 years of deferred activity during the pandemic. We also experienced solid demand for our gas utility and pipeline integrity operations, which are executing well and are driven by regulated spend to modernize systems, reduce methane emissions, ensure environmental compliance and improve safety and reliability. We continue to believe our operational portfolio is a strategic advantage that provides us the ability to ship resources across service lines and geographies, which we believe will become increasingly important as the energy transition accelerates. We believe our portfolio approach positions us well to allocate resources to the opportunities. We find the most economical and attractive to achieve operating efficiencies that enhance our operational and financial consistency. The energy transition towards a reduced economy continues to progress and we believe is gaining pace. Quanta is successfully executing on our strategic initiatives to drive sustainable and resilient operational excellence, total cost solutions for our clients, consistent profitable and value - consistent profitable growth and value for our stakeholders, all of which gives us confidence in our ability to deliver on our 2023 and multiyear financial expectations. We are focused on operating the business for the long term and expect to continue to distinguish ourselves through safe execution and best-in-class field leadership. We will pursue opportunities to enhance Quanta's base business and leadership position in the industry and provide innovative solutions to our customers. We believe on the diversity, unique operating model and entrepreneur mindset form the foundation that will allow us to continue to generate long-term value for all our stakeholders. I will now turn the call over to Jayshree Desai, our CFO, for her review of our first quarter results and 2023 expectations. Jayshree?
Jayshree Desai: Thanks, Duke, and good morning, everyone. Today, we announced record first quarter revenues of $4.4 billion. Net income attributable to common stock was $95 million or $0.64 per diluted share and adjusted diluted earnings per share was $1.24. Our first quarter electric power revenues were $2.3 billion, and operating income margins were 9.2% and consistent with the directional views provided on last quarter's call and reflecting successful execution across the segment. Our base business continues to lead the way for the segment as utility investments in hardening and modernization initiatives create growing demand for our comprehensive solutions. Renewable Energy Infrastructure segment revenues for first quarter '23 were $1 billion with operating income margins of 3.5%. Revenues in the quarter were better than expected due to the acceleration of construction activities as our renewable customers move forward with projects. As we mentioned on our last call, we anticipated first quarter renewable revenues to be the segment's lowest of the year and the lower volumes would create fixed cost absorption pressure on segment margins. In light of that expected pressure from a margin perspective, we are pleased with the results from the bulk of our project activities. The overall segment margin was affected, however, by the large renewable transmission project in Canada, which we've discussed on prior calls. With over 90% of the project complete as of March 31, construction activities were quite successful during the quarter, and we believe we are positioned to achieve substantial completion after the next winter build season. Yet despite the significant progress, access delays, logistics and other issues outside of our control, increased our cost on the project negatively impacting quarter margins by approximately 120 basis points. We are working collaboratively with the customer to recover the financial impacts associated with these and other issues and are confident in an equitable outcome. Underground Utility and Infrastructure segment revenues were $1.1 billion for the quarter and operating income margins were 5.7%. Continued strength from our base business operations drove the performance with margins exceeding expectations, benefiting from improved fixed cost absorption on higher than anticipated revenue levels. For additional commentary comparing first quarter '23 to first quarter '22, please refer to the slides accompanying this call. With regard to backlog, we continue to achieve record levels. At March 31, 2023, backlog was $25.3 billion, an increase of $1.2 billion compared to December 31 and did not include amounts related to SunZia, which we announced this morning and was awarded subsequent to the quarter end. Our 12-month backlog is also at a record level of $14.6 billion which we believe is another indicator of the steady growing demand for our base business solutions. Our end markets remain robust with opportunities that can lead to new record levels of backlog in subsequent quarters. For the first quarter of 2023, as expected, we had negative free cash flow of $31 million, driven by working capital demands from the aforementioned Canadian renewables project as well as a ramp-up of work activities following the holidays, which is typical for the first quarter. DSO measured 77 days for the first quarter of 2023, lower than our historical average, aided by favorable billing arrangements associated with certain awards during the quarter. Regarding the Canadian renewable transmission project, the contract asset balance grew during first quarter '23 and continues to pressure DSO. Positive discussions with the customer regarding portions of the balance are ongoing, which represents approximately 5 to 6 days of DSO as of March 31, and we are increasingly confident in our position. As of March 31, 2023, we had total liquidity of approximately $1.8 billion and a debt-to-EBITDA ratio of 2.5x as calculated under our credit agreement. The decrease in liquidity and increased leverage profile is due to roughly $450 million of capital deployed on acquisitions in the first quarter. We expect continued earnings growth and cash generation to support our ability to efficiently delever over the coming quarters while continuing to create stockholder value through incremental capital deployment. Turning to our guidance. We had a nice start to the year with record first quarter revenues and strong performance in the field. Given that strength, we are raising our revenue expectations for the year by $200 million, while our expectations for full year adjusted diluted earnings per share attributable to common stock are unchanged, ranging between $6.75 and $7.25. From a segment perspective, we continue to see Electric segment revenues between $10 billion and $10.1 billion for the year, with full year margins between 10.7% and 11.3%. We expect segment margins to be somewhat pressured in the second quarter due to challenging weather conditions throughout the northern and western parts of North America. Regarding our Renewable segment, given the strength of the first quarter and increased project awards, we are raising our full year revenue expectations for the segment by $200 million, ranking between $4.5 billion and $4.7 billion. We continue to expect margins around 8.5% for the year, with second quarter margins in the upper single digits. The increase in renewables is being offset by a reduction in our Underground segment due to a shift in the expected portfolio mix. Our segment revenue expectations are unchanged, but we now expect full year margins to range between 7% and 7.5%. We slightly modified other aspects of our guidance, the details of which are included in our outlook summary, which can be found in the Financial Information section of our IR website at quantaservices.com. Looking ahead, our end markets continue to strengthen, led by utilities, modernizing their infrastructure to support increased load driven by electrification trends and most importantly, to support North America's transition to a reduced carbon future. We believe we are uniquely positioned to deliver comprehensive solutions to the markets we serve and to create significant shareholder value through organic growth and strategic capital investment. I'll now turn it back to the operator for Q&A. Operator?
Operator: Thank you [Operator Instructions] Our first question is from the line of Andy Kaplowitz with Citigroup. Please proceed with your question.
Andy Kaplowitz: Good morning, everyone.
Duke Austin: Morning.
Andy Kaplowitz: Duke, your backlog has been accelerating over the last few quarters. It seems like you are announcing more large projects are you just generally seeing an acceleration in these types of projects? And would you expect their frequency to continue? And then I know you talked about backlog continue to increase, does the higher backlog in your view raised the probability that Quanta could deliver at higher end? I think you had told us at the Analyst Day like 15% plus term EPS growth that you discussed.
Duke Austin: Yes. Thanks, Andy. I think when we look at the market and especially the larger projects within the market, there's a significant amount that you got to get through permitting, you've got to get through a lot of different things. More importantly, if you're going to transition the need for transmission in North America, for that matter, is significant, way more than what people will estimate. I think you hear it quite a bit where were moving towards the transition we are. So that said, we do see large projects across the board, but you have multiyear projects as well with existing customers that are also addressing this need to provide load to the load centers from the areas where you have renewables. So those things, along with what you're doing with EV penetration and things like that are certainly increasing. Our dialogue with customers is robust. The amount of capital necessary to go where we want to go, continues to grow. I don't see a path to get to anywhere near where we want to go in 2030, 2040, 2050 without significant infrastructure build across this grid. It's not meant to handle the modernization, the penetration of electric vehicles and what we're trying to do from a carbon environment without modernizing this infrastructure in a significant way.
Andy Kaplowitz: Are we at least trending towards your higher-end target that you talked about last year?
Duke Austin: Our backlog growing. We don't even have SunZia and it will go up significantly. I think it will go up significantly every single quarter throughout the year. It may not be a perfect CAGR, but it will grow through this year, and I don't see that stopping. I mean we've given you good guidance on a multiyear 10% type growth at the EPS line with the ability to grow 15%. I stand by it today, even more so.
Andy Kaplowitz: Appreciate it.
Operator: Our next question is from the line of Adam Thalhimer with Thomson, Davis. Please proceed with your question.
Adam Thalhimer: Hey. Good morning, guys. Congrats on a strong start to the year. Duke at a high level, where do things stand with renewable - with the renewable supply chain?
Duke Austin: I think it's getting better. I mean you still you still hear Congress even today or yesterday, I can't remember. You start to see things around your reliance on China for panels. And I do think that will continue to play through this. But all in all, for what we see for what we have, we certainly have risk-adjusted kind of how we're guiding this year. So I do think we've watched it. We know what panels are in. We know what panels aren't in. I do believe that has alleviated a bit and we'll continue - so the supply chain has gotten better in many ways. Certainly, if there's any kind of regulation or things like that, it could change. But I do see more for that matter, everything being more onshore than offshore. And I do think that's a good trend for us in the way that we think about providing those solutions. Jayshree can comment.
Jayshree Desai: No, I have nothing more to add. That's right. I think it is opening up. We're seeing the supply chain, the panel manufacturers make -- do a better job of ensuring that they're meeting their requirements under the -- under the tariff provisions. But yes, if there is any sort of regulation, any sort of anti-China sentiment that continues to push through, that can obviously affect the supply chain again.
Adam Thalhimer: Okay. Thank you.
Operator: The next question is from the line of Alex Rygiel with B. Riley. Please proceed with your question.
Alex Rygiel: Thank you, gentlemen. Real quick question here. Where do you stand on the percentage of revenue generated from self-perform versus external subs? And how could it change over the coming years?
Duke Austin: Yes. Thanks, Alex. I think in general, we're about 85% still. I think that remains the work mix for us. If it's more material concentric, we'll make some comment on it. Today, it's the same for about 85% of the business is still self-performed. We like that. We like that mix. I think it will continue. We certainly to have certainty in our projects and to the client on delivery times and on for our ability to provide earnings power, we need to be able to self-perform about that mix. And the constraints that we have, no one understands those and we have to make sure that we can operate through any kind of issue. So that's about the mix you'll see.
Alex Rygiel: And then secondly, can you talk a little bit about the competitive environment, particularly as it relates to SunZia? Congratulations on that. But how many bidders were on that? And how does that compare to a few years ago?
Duke Austin: Yes. Honestly, I don't have any idea. I know we had a great collaboration with the client. It was a collaborative effort. And I believe it shows what the Blattner acquisition did for us. When you put both of us together what we can do together, what we can do for the client, the synergies that we can create for a client in a project like this. I would say it's proof of concept, it's proof of what can be done with the client to ultimate consumer and I don't think there is anyone that can do what we can do with these type of projects based upon history based upon what we're able to really think through for early in construction we can certainly create impacts and solutions to both sides of this transition, unlike any other.
Alex Rygiel: Thank you.
Operator: Our next question is from the line of Justin Hauke with Robert W. Baird. Please proceed with your question.
Justin Hauke: Great, thanks. So I guess I had a couple of questions on SunZia, just because it's been out there, obviously, forever, it's had all kinds of moving pieces on the financing side and the regulatory side. I'm just curious, is there anything that it still has outstanding that it needs to receive to start construction in 4Q? Or is that pretty much all cleared up? And then I guess related to that, is there any contribution that you're assuming in your guidance for this year from it?
Duke Austin: Yes. We have some revenue in our guidance this year from it. It was in our uncommitted prior to the award. But that said, it's minimal. And I don't -- we don't see a pullback or a path where it doesn't go. So there's a lot of commitments being made here. We feel like the project is a go project, it's a great project, patterns of long time customer, Blattner and IRA for that matter. So we're confident, and we've worked hard with the client to make sure that this project is a showcase for them and us and the industry, what can be done through hard work. And yes, it's a long, long project. It took a long time. It shouldn't take this long in America to build infrastructure. So certainly, it's -- we're glad to get it across the finish line for everyone.
Justin Hauke: Okay. Great. That's helpful. And then I guess my second question is just on the Canadian renewable job. You said it's 90% complete, and you're expecting it to complete with the next winter build. So does that mean that for the next couple of quarters, there's really no contribution on that, and so we shouldn't think of that as kind of a source of potential pressure and it won't start up again until we get back to next winter when it completes? Is that the right way to think about it?
Duke Austin: Yes, a little bit on the project. That's the way to think about it, but a little bit on that project, just so we can discuss it a bit -- it's a project that we did through the pandemic. And it's a project no one's done in northern climes like this, where we've taken people off fuel and putting them on renewable power I think it's significant in the way you think about the northern climes and what can be done. Our people work through a pandemic and built this. And so that said, no one's ever done that. No one's ever -- so the way that we're thinking through it, we've taken a prudent approach taking a prudent approach the way we've looked at it. All I can say is we can build things in northern climes better than anyone in the world. I'm confident in our position. I think it's much better than what we have, but we took a prudent approach to it. We'll continue to do so. I don't think you'll see any more fluctuations unless it goes the other way. I feel confident in where we're at, and it was our decision really to make sure we derisk the rest of the year and the rest of the job with the approach that we've taken. So we're extremely happy with our people, this build was significant for us in a code-free environment of what's possible. Our productivity rates and everything else were off the chart. So real pleased with how we finished up, and I do believe it will pay dividends in the long term.
Justin Hauke: Okay, great. Thanks.
Operator: Our next question is from the line of Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Thanks. Good morning. Congrats on SunZia. I just wanted to follow up on that last point there. I mean, this seems to be a reminder that things can happen on these renewable projects. And so how can we get comfortable that these risks can be reasonably controlled what comfort can you give investors that SunZia is not going to be an execution overhang on Blattner has done other work in New Mexico before. You're taking great efforts to derisk the business, but it's obviously -- it's a big, huge project. We do have a margin impact this quarter from renewables projects. So what comfort can you give investors that there's not going to be an execution overhang now? Thank you.
Duke Austin: Thanks, Steve. SunZia is right down the middle for us, both from -- we just got off a wind project, with pattern did really nicely. We built line across that part of the world, many, many times, not concerned. What I can't control is a pandemic, so if our project has a 24-month pandemic in it, I don't know how to address that yet. I'll let you know when we get done with all the settlements on the claim. But the one in Canada, we work through a 24-month pandemic in a camp in the most northern territory in North America. So - and by the way, like every other project up there is off the rails. So look at coastal gas, look at Trans Mountain what they did compared to what we've done. I like our chances. So I know - we know we're doing on large projects, and this one is right on the middle. I expect many more of them to come.
Steven Fisher: Okay. Thank you.
Operator: The next question is from the line of Chad Dillard with Bernstein. Please proceed with your question.
Chad Dillard: Hi. Good morning, guys. First of all, can you talk about what is the mix of small versus large projects today, particularly in electric transmission? And then like with the recent spate of large wins that you've had over the couple of quarters, like where do you think that mix goes over the next couple of years? And what I'm multiple trying to understand is like how should we think about the margin impact of a potential mix shift?
Duke Austin: I think when you look at it, it's about the same between 80%, 85% base business, the why we've laid it out. Large projects will grow significantly. Our base business will grow significantly. We're signing much larger MSA type programmatic expense than the projects that you're seeing. It's just there over multiyears. This -- SunZia is over -- I think we get done in '26, end of '26, the line goes a little faster, '25. But that said, we have multiyear type MSAs type agreements with our current customers that are longer in nature that are much bigger. So we continue to see both the base as well as these larger projects, as we've talked about the stacking effect due to the transition and all the things that we're able to accomplish there on the company is in front of it. And I do believe the outlook looks good. And certainly, our strategies are 5 years out. And I like where we're at. And I think we're right on track, maybe a little better.
Chad Dillard: That's helpful. And then, can you give a little more color on the Navistar partnership? Is this something where it's exclusive for Quanta? And then just like at what stage of the sales cycle is Quanta brought in? And is this like the type of like pro work that you've been talking about?
Duke Austin: Yes. When we look at the Navistar contract, I think it's just how we relate with our -- not only us, but our suppliers we collaborate. And that collaboration leads to other things that we can do together such as try to create the safest truck in the industry, which I think is where the start was trying to create the safest truck what can we do with automated driving, what can we do with other things. And then it led to -- well, what can we do together to build the infrastructure necessary to go to electric vehicles. That said, if you think about Navistar's -- their amount of market share in school buses, in every school district across North America, it's significant. Many of the school districts load once you put buses and you go to an EV type bus, it will pull more load at the bus depot than the town. So when you start thinking through that and you're struggling in all the school districts that are out there, I think it's a significant build. It's meaningful for the company. And if we work together, we work with our utility clients and municipalities on the front end of this, we can certainly do it cost effective and create an environment that allows everyone to move towards carbon free.
Chad Dillard: Thank you.
Operator: Our next question is from the line of Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: Hi, good morning. Congrats on SunZia. I guess first question, is there any way you could size the number of projects or in dollars, what you're bidding on, where you're bidding both the transmission and the renewable side sort of like SunZia, so we can see how many more opportunities that are out there? And to what degree are you worried - or I know you've been investing in labor for some period of time, and you always have, but that you need to ramp your investment in labor even more? And could that be a risk to margins in the short term? And then my second modeling question is just on within renewables, understanding the first quarter margins were below your expectations, and you explained that fine, but I think you maintained your renewable margin guidance for the year despite the first quarter being lower. So I'm wondering if that implies potentially the rest of the business is performing at a level slightly better than you expected? Thanks.
Duke Austin: Good morning, Jamie. So I do think when you think about that we're on call it, 25 renewable projects today. All those have interconnections. The discussions with the customer are usually when we didn't have Blattner, you weren't combining that. You were really -- we were doing a lot of the interconnections for the utilities or for the developers. Some are going towards a combined approach I think the more we show the economics around it, the more we think through it, the bigger the projects, certainly, the more economical it is for us to think through both wind solar and interconnection with the client, and we do that quite a bit. As far as -- there's a significant amount of projects out there that are ongoing or from utilities driving win towards the West on the East Coast coming down from Canada, where you're absolutely bringing load wind, whether we're on the wind side or not. Usually, we're on both sides of it. If they combine it is better. I think it's our job to show the client the economics around that and how we see it. And is that the ultimate is that the ultimate project for the consumer at the end. Can we do it cheaper and more efficient. So I do think I like our chances. SunZia is certainly a highlight of what can be done. And I think it -- when you collaborate early, you get those kind of results and everyone wins. As far as the margins on renewables, I think a lot of that was the Canadian project pulling it down a bit. I do believe when you start to scale the way we're scaling, what happened in the renewable business across the board, you had a stop 6 months, 9 months where no one did much because of all the regulations in '22. And that -- and also the IRA coming in. As the IRA comes in, you're going to get on more of a run rate base rate that you can see and you'll stock on top of that as you grow, I don't think you'll have this cadence that you have where you're growing from the first quarter significantly into the second, into the third and the fourth. And you get more -- obviously we have to perform on the back side much better than we did on front. And I believe everything in historical, nothing on the back side outside of any historical margins. In fact, it's right down the middle for us on the backside of this. And I think that should create -- you'll have some seasonality in the first quarter, but your fourth quarter is going to obviously grow you have some impacts in the second due to our -- the way that we're mobilizing on projects and things of that user, but it should smooth on out into '24 and beyond.
Jayshree Desai: Yes. And we are seeing better performance in the rest of our business, Jamie. When you see the impact of the Canadian project at 120 basis points. The rest of the business, we were we were pleased, as I said, the performance there margins are doing better than we expected. And as Duke said, as we move out of first quarter into second, third, you're going to have more volume, you're going to have better fixed cost absorption and you're going to just have better productivity as a result of getting into better climates.
Jamie Cook: Well, not to push you, I'm just wondering if the back half margin implied double-digit if that's a new run rate going forward given just what you're seeing in the market?
Duke Austin: We don't have enough history Jamie to give you that. If I can get 12 months' worth of run clean on renewables, I'll be in a much better place to give you some dialogue, but it certainly will -- if you do the math, you've got to be in double digits on the back half.
Jamie Cook: Okay. Thank you.
Operator: Our next question is from the line of Marc Bianchi with TD Cowen. Please proceed with your question.
Marc Bianchi: Thank you. How much should SunZia contribute to backlog here in the, I guess, second and third quarter? And then how is your - how does that constrained, if at all, your bandwidth to take on additional work? Is there a level where backlog gets filled up and you're probably just going to continue to work on that level for several quarters?
Duke Austin: I think we'll continue to grow backlog. We're not going to comment on how big the job was. We said is the largest renewable project in North America, so it's quite large. We'll put it in backlog next quarter, and you can infer what that looks like. But -- that said, in general, as far -- we hear a lot around constraints. The company has grown about 1,000 employees a quarter. We're roughly very close to 50,000 today. And I do think that growth continues. We were set up to meet the demands out there. I've not seen the demand outpaced our ability to grow and grow in a efficient way where we can certainly put the resources on the projects and that we see anything we've seen in the market anything out there we're bidding on. We can certainly handle and handle more of it. I challenge the supply chain to catch our ability to perform the labor because that's where the problem is.
Marc Bianchi: Okay. Thank you.
Operator: Our next question is from the line of Neil Mehta with Goldman Sachs. Please proceed with your question.
Neil Mehta: Good morning, Duke and team. And I guess my first question is just around the cash flow, free cash flow progression over the course of the year and how we should be thinking about the $750 million to $1 billion guidance and whether you're on track and whether you're targeting where -- within that band you see yourself being.
Jayshree Desai: Yes. Hi, Neil, yes, we are tracking toward that $750 million to $1 billion. We still feel good about it. Our first quarter was negative, which is typical for us in the first quarter, given the working capital requirements coming back from the holidays, ramping up. We did also have a little bit of pressure in the first quarter with some retainage as well as some material procurement that impacted our DPOs. But again, well within our expectations, and moving forward, as the work increases, we've got more renewable projects coming through. You're going to see that cash flow and the revenue come in as a result. Our expectations are still within that $750 million to $1 billion. I think we're on the midpoint is where -- Neil, if you're asking me today where we are, that midpoint is right down the middle and where we would be. And so we feel good about where we are today and see no reason to change that.
Neil Mehta: Okay. That's really helpful. And then the follow-up is just on one of the core competencies and capabilities of your organization has been around making strategic acquisitions, not just large ones like Blattner, but also smaller bolt-on ones as well. What's the opportunity set in the M&A market for tuck-ins, recognizing big strategic points are probably less likely as you are working to integrate Blattner right now?
Duke Austin: We made three in the first quarter, I think, are extremely strategic, so that said, it addresses the mid-market solar and many other things. So our ability to think differently and to get in front of these type trends as well as families that want to perpetuate their business I do believe we'll have the ability to do that. We'll certainly weigh that against organic growth on the way that we're thinking about the market. So there's opportunities for sure. And I'll go back to cash flow. If we grow the business for every $100 million we grow, we pull cash out. I think it's around $12 million of free cash, somewhere in there. So don't -- like if we grow another $500 million of guidance, you're going to pull out another $70 million of $60 million of cash. So just that happens. We've got to make sure that everyone understands that is if we grow more than what we say, it does pull cash.
Neil Mehta: Thanks.
Operator: Our next question is from the line of Sean Eastman with KeyBanc Capital Markets. Please proceed with your question.
Sean Eastman: Hi, team. So it's great to see the later kind of revenue synergy story coming together with this big SunZia win. Duke, you had alluded to the economics to the customer being better when you guys kind of come to market with this combined transmission generation solution. Could you give us a little more color on that and kind of what the go-to-market pitch is? And what the benefit to the customer is here?
Duke Austin: Yes. I mean I just -- there's a lot of synergies, Sean. It's kind of like the Coke secret sauce, I'm not going to tell you what it looks like. with the ingredients are. So the issue is, for us, if you get us in early, our ability to put a construction-led engineering package together is what I think leads the industry forward, not only from a safety standpoint, just the way we think about supply chains, everything with a long the build. So it's just our ability really to think through how we're going to build something and then make sure the engineering matches and where we build all kinds of different things from logistics to everything else, and we know a ton. And look, we know who's going to build it. So we know the craft that's going to build now the superintendents that are going to build it. When they sit with the customer early it always ends well.
Sean Eastman: Okay. Interesting. And then a little bit more granular. We haven't hit on the Underground segment. The first quarter margin performance was quite a bit better than we expected. And then I think the guidance for the full year has come down. So I just want to understand what's happening under the hood around that mix shift you described.
Duke Austin: I just think in the Underground, when we look at it, I think the way we see capital spend at our customers, you can see some pull in from gas LDC into maybe Electric or Electric to Underground more so another half of the year. The total portfolio rises, you may have some impacts on a little overhead here or there. On your gas, your industrial business in the back half, we need to watch it. We have good visibility for 6 months and then you can't see the back half. So you're hesitant on putting something forward that is not there at this point. So we'll watch the underground business. That said, I do think that mix shift happens and there'll be some portfolio adjustments year-over-year all the time because the difference between electric and electric creating renewables or electric creating electric it's nothing. It's the same. You just -- it's the work type, who you're working for primarily or what you're doing with the work. So that said, I mean, they can -- we could grow the electric side of the business faster than the renewable side at times and the renewable side faster than the electric at times I just -- that was going to blend in and the underground business is the same thing. We can be doing telecom 1 day and gas the next, that's the beauty of the portfolio. And I think if you -- if we get operating leverage, if what the company is doing right, we'll continue to see some work mix shifts in underground, but you're going to higher margins in electric and telecom. It's a good thing.
Sean Eastman: Okay, interesting. Thanks. I'll turn it over.
Operator: Thank you. Our next question is from the line of Michael Dudas with Vertical Research. Please proceed with your question
Michael Dudas: Good morning, Kip, Duke and Jayshree.
Jayshree Desai: Good morning.
Michael Dudas: Following up on, you mentioned telecom. Maybe you could share it seems like your revenue expectations remain what they have been. What are some of the trends you're seeing, anything that's been more beneficial Quanta? And could you - there any visibility into, say, 2024 on some of the programs and where you guys can get involved?
Duke Austin: Yes, Mike, we're starting to see more and more programs from your non-traditional customers. So I think [indiscernible] close to $1 billion double digits which is what we are trying to accomplish, and we're very, very close. It wouldn’t surprise me if we surpass it. I think we pace the growth right. I think we've done purposefully there and we'll continue to take advantage of the market. That said, we're not investing a lot in that from acquisitions or things like that, it's primarily around organic growth at this point. So it allows us to really expand our other things against that market. So we're pacing our growth. I do big opportunities in 2024 really and beyond. '23 is nice, but we'll continue to watch it. It does get tickle at times.
Michael Dudas: Thanks, Duke.
Operator: The next question is from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hey. Thanks for taking the question. Duke, curious the outlook for sort of other new wind bookings opportunities. It seems like solar is kind of in the hot market last few years. Wondering if you're seeing RFP is picking up and wind and maybe that's another significant lever, I guess, beyond some from bookings in the coming quarters and years. And I guess, of that, too, are the economics of those projects more attractive than solar? Because it seems like it would be a less saturated sort of competitive environment given the technical necessities there.
Duke Austin: Yes. I mean we're seeing more opportunities in the outer years. And when I mean the curves to the cards work and what you need so your battery projects are going to pick up significantly to handle some of the intermittence fees as well as the wind in certain areas. You have to have transmission interconnects and things of that nature. So a lot of it is the transmission cues as you get these larger lines built, you'll start to see more wind behind them. But they're not going to build the wind if they don't have anywhere to put it. And repowering certainly is a big business that we'll continue to see that repowering market is nice. And I'll let Jayshree comment on this.
Jayshree Desai: And the only thing I'd add to Duke's comment is wind is starting to get some momentum. I still think -- and we're still seeing that it's more back-half weighted as projects have to get through the permitting and interconnection cues. And for all the reasons Duke mentioned about the complexities of moving that wind power to where the load is, it just -- it's harder and it takes more time. And you have the IRA coming in as well, which will allow for more wind and have wind be as competitive solar. But again, the projects have to move through the development cycle to be ready to be built. But in terms of economics, no, I think we are comfortable with both. Blattner especially has a strong history in building wind and now solar and they've proven themselves to be successful in both.
Brent Thielman: Okay. Thank you.
Operator: Thank you. Our final question this morning will be from the line of Marc Bianchi with TD Cowen. Please proceed with your question.
Marc Bianchi: Hi, thanks. I wanted to ask on the back half renewable margins here. You mentioned the, I think, 120 basis point burden in the first quarter. I'm curious what that Canadian project would be burdening the back half by just so we could get a sense of what it would look like once that's out of the backlog?
Duke Austin: Yes, I think it's not material, if anything, on the back half. It's in the '22 a bit. So I think when you look at '22, it's down a bit and it won't - Canadian has been an impact in that segment. So there's not as much Canadian content in the back half of our year. And so we're confident in the historical performance of both sides of the business to be able to perform double digits in the back side of this - of the year.
Marc Bianchi: Okay, super. Thanks so much.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. And I'll turn the floor over to management for closing remarks.
Duke Austin: Yes. I want to mainly thank our people in the field. We had a really, really nice quarter through tough winter that the foot of snow in places, these guys, women in the perform in northern climes better than anyone in the world and what they do every day is remarkable. They're building the nation's grid. And I'm real proud of where they're at from a safety standpoint and where we're at. And I'd like to thank them and you for participating in our conference call. We appreciate your questions and ongoing interest in Quanta Services. Thank you. This concludes our call.
Operator: Thank you. You may now disconnect your lines at this time. Thank you for your participation.